Leonardo Rosa: Good morning. Welcome to the conference call of Usiminas in which the results of the Third Quarter of 2025 will be discussed. I'm Leonardo Karam, Investor Relations Officer at Usiminas. [Operator Instructions] This conference call is being recorded and simultaneously broadcast on the Usiminas YouTube channel. We would like to remind you that this conference call is exclusively for investors and market analysts. [Operator Instructions] We also request that any questions from journalists be directed to the Media Relations team at Usiminas via e-mail in imprensa@usiminas.com. Before proceeding, we would like to clarify that any forward-looking statements that may be made during this conference call regarding the prospects of the company's business as well as projections, operational and financial goals related to its growth potential constitute forecasts based on the management's expectations regarding the future of Usiminas. These expectations are highly dependent on the performance of the steel sector, the country's economic situation and the situation of the market at the international level, so they are subject to change. With us today is our President, Marcelo Chara; the Vice President of Finance and Investor Relations, Thiago Rodrigues; and our Commercial Vice President, Miguel Homes. First, Marcelo will make a few remarks, then Thiago will present the results. Afterwards, the question asked in the Q&A section will be answered. Now I give the floor to Marcelo. Please, Marcelo.
Marcelo Chara: Thank you. Thank you very much. Thank you very much, everyone. Good morning, ladies and gentlemen. It's a pleasure to be here with you to share the results for the third quarter of 2025. This quarter was marked by important advances in our management with the consolidation of our operational stability, continuity of the cost reduction plan and the evolution of our priority CapEx project. These initiatives reinforce our strategy of ensuring competitiveness and sustainability for the business in the long term. In this quarter, we achieved an adjusted EBITDA of BRL 434 million, with a margin of 7%, representing growth compared to the previous period. I would like to highlight the following: the 3% reduction in COGS per ton in the steel business unit compared to the second quarter as a result of the expense and cost reduction plan. We posted growth in sales volume in Steel business unit despite the increasing pressure from imports under unfair conditions. We reported higher prices and volumes in mining, strong cash generation exceeding BRL 600 million in the period and reduced leverage, mainly due to the control and efficient management of raw material inventories. In the market environment, we remain vigilant and concerned about the increase in subsidized imports due to the excess global production capacity, particularly in China, which continues to negatively impact the entire domestic industry. Imports increased by 33% in the first 9 months of 2025 as to flat steel compared to the same period of the previous year. And we do not clearly see the effect of the tariff quota system on import penetration. The antidumping cases of heavy plates that has been extended for 5 years as a measure against China and South Korea as well as the one for metal sheets, where the duty was also applied against China and the one for prepaint and steel, which is at an advanced stage, give us confidence in the technical capacity of the authorities of the ministry department and industry to recommend effective measures against the serious damage that affects the entire steel value chain in Brazil. The challenging conditions are also impacting industrial goods that include steel components. Data from ANFAVEA shows that compared to 2024, there was an 11% growth in the registration of imported light vehicles and only 2% of domestic light vehicles. In the machinery and equipment sector, data from the National Industry Association, ABIMAQ show an accumulated annual increase of 9% in imports with a trade deficit of the sector totaling USD 13 billion this year alone. Due to this imbalance in international trade, we have seen important movements such as that of the United States, which raised its tariff on imported steel in Europe, which proposes to tighten current safeguard measures, proposing a tariff quota system with a sharp reduction in volumes and an increase in tariffs with the aim of protecting jobs and the local industry in Europe. For the fourth quarter of 2025, we expect to continue reducing costs due to efficiency and raw material prices, stable net revenues per ton and lower volumes due to the typical seasonality of the period at the end of the year. As for mining, volumes are expected to be slightly lower, but to remain higher in 2025 than in 2024, consistent with our planning. I would like to point out that despite the challenges of the external environment and the pressures on the domestic industry, we remain confident in our ability to adapt and deliver sustainable value to our customers and shareholders. We believe that with discipline, strategic focus and the commitment of our entire team, we will continue to advance and consolidate our leading position in the sector. I thank everyone for their trust and partnership and we continue together building the future of Usiminas in the Brazilian industry. Thank you.
Thiago Rodrigues: Thank you, Marcelo. Good morning, everyone. So we are now going to start with our presentation about the results for the quarter. We would like to start that we showed improvements in the main performance indicators in the third quarter of 2025, even considering the complex scenario that we are facing in Brazil and abroad, as mentioned by Marcelo. Sales volume increased in steel and for mining 2%, consolidated EBITDA had an increase of 6% in relation to the previous quarter. And the highlight is the strong cash -- free cash generation of BRL 613 million is in a drop of our net debt and our leverage ratio. We can see the consolidated results on the next slide. Net revenue was BRL 6.6 million, slightly lower than the previous period, and the impact was the lower prices in the steel segment. And the revenue was higher than last year and was driven by mining, in particular. Adjusted EBITDA was BRL 434 million, 7% of margin and slightly higher than the previous quarter as a result of the best operational performance in the steel area. Accumulated EBITDA in the 9 months of 2025 amounts to BRL 1.6 billion, 45% when compared to the same period of 2024. Net income did not reflect the best operational results of the quarter, as we mentioned, due to the accounting effect of BRL 3.6 billion related to impairment of assets as well as deferred taxes. Those effects are accountable for accounting effects and generate no effects on the cash of the company. Otherwise, the net record would be BRL 10.8 billion in the quarter. Next slide, we have seen the steel sales volume was higher, 1.1 million tons, a bit higher than the previous quarter, showing the resilience of the demand of our main segments. The accumulated volume is above what we posted in 2024, but it's important to mention that in the same period, the apparent demand of steel increased by 6%. In other words, this increase of demand was captured by subsidized imports reinforms the need of implementing antidumping measures as Marcelo has previously mentioned. Moving to net revenue, the unfair competition that we mentioned affected the prices in the period. We had reductions in the quarter, especially in the sector of distribution. Exports were impacted by the mix except for high-grade steel, and there was a 3.5% drop, reaching BRL 5.8 billion. In spite of the complex market scenario, we offset the drop in revenue with a reduction in cost and expenses, reaching 7% higher result and EBITDA of 30.8%. EBITDA amounted to BRL 1.1 billion, 44% when compared to 2024. On the next slide, we show the main variations of the quarterly results. And here, we can see the drop of 3.5% of net income per ton, generated a loss in our results and the offset came through the reduction of cost in sales that generated an increase of BRL 164 million, which was expected. And this was also driven by the appreciation of the real and also the drop in the price of raw material, but also with the gain in efficiency in our operations. We have a positive effect due to lower SG&A expenses and contingencies. In the next quarter, we continue reducing costs and our expenses are expected to remain stable. As for mining, the production volume was 4% higher when compared to the second quarter due to the operational yield, which was higher and sales had an increase of 2% with 2.5 million per ton, which was the highest volume of the quarter since 2021. Net revenue was 4% higher when compared to previous periods with better reference prices and lower discounts related to quality, but it was partially offset by the devaluation of the dollar. Net revenue amounts to BRL 2.8 billion and 27% higher than the accumulated revenue of 2024. The cost per ton for the quarter had an increase, especially due to the freight tariff hike and EBITDA was -- of the third quarter was BRL 130 million, slightly higher when compared to the previous quarter and accumulated was stood 60% higher than 2024. And now talking about the financial indicators. This quarter, we had a strong cash generation with important generation of working capital due to the reduction of raw materials, which stands at a normalized level nowadays after an increase that we had in the first quarter, one-off effect. The CapEx was BRL 266 million, and we keep advancing with the main projects that are going to generate gains for Usiminas, especially the PCI plant that is going to be completed in the beginning of next year. And [ auto repair ] and coke plants that are going to finish, completed in 2028 and 2029. And we ended with free cash flow of BRL 613 million. In relation to working capital, we can see a reduction in -- at a lower volume, but we can see a reduction, especially due to the lower volumes that was estimated for sales in the steel business unit. As for CapEx, the expectation is to follow our guidance close to the lower limit of BRL 1.2 billion. Next slide. we can see the strong cash generation has made the debt to be reduced as commented before, closing -- close to BRL 300 million and reduced the leverage to 0.16x. In this quarter, we also ended the repurchase of the bonds that are going to mature in 2026. And we also took the opportunity of the favorable conditions to anticipate BRL 160 million of the new debenture issuance. And with this, we continue with a very solid financial position and with the scheduled elongated debt that will make us focus on our operating performance and continue with our investment plan. I will turn back to Leo so that we can start the Q&A session. leo, please?
Leonardo Rosa: Thank you, Thiago. So we are going to start with the session of the Q&A. Our first question is to Marcelo and Miguel. And this is the most asked question about antidumping. There are many questions come from Marcio Farid, Caio Greiner from UBS, Caio Ribeiro from BofA, Marcelo Arazi of BTG, Raj Kanjani, Igor Guedes of -- from Genial, Lucas Laghi from XP, Daniel Sasson from Itaú BBA. All of them are asking about anti-dumping, and I'm going to try to concentrate on the following topics. Are you confident in the implementation of antidumping measures. And what's your vision? What changes since the preliminary decision? Are the deadlines being maintained? Are there delays likely to happen to February? Is there a possibility that even if the antidumping measure is adopted, the market will continue being pressured. Can other countries being involved. And if there is the antidumping implementation, is there any chance of going back to going -- getting the blast furnace #1 back into operation?
Marcelo Chara: Thank you, Leo, for all the questions. This is a very relevant topic. And we have been mentioning all of this in the previous calls about the measures for the steel segment and the industry in Brazil. We are confident, of course, because these are processes which are very solid from the technical view point as to dumping. And this was confirmed in the preliminary decisions that was published by the ministry. In case of dumping, you analyze 2 factors mainly. What is the margin of dumping that was being confirmed by the preliminary valuation by the technicians of the ministry, with tariffs above $500 per ton, both for coated and cold. And another important factor is the impact of the imports of the gain in the local industry. So if this -- all this is confirmed, and if this is confirmed after the preliminary decision where the imports continue to increase, prices continue to be pressurized in the margin of the industry, both the local industry and international industry. And this allows us to feel this confidence of -- on the final determination that should come next month. In relation to the deadline, it's important to clarify the following: As for dumping, there are deadlines for the final determination after each case has been filed. As for the cold area, the opening of the case happened in August 2024. After that date, the maximum deadline for the final decision is February 2026, okay? The ministry has been publishing different schedules according to the capacity for the technicians to analyze of each case, considering the technical capacity of the ministry. In the last publication, however, the last schedule that was published by the ministry, the date was November 2025. This is not likely to be completed. So our expectation is that the final documentation will reach the final deadline, which is February '26. As for coated product, so it's going to be 30 days after the cold item case is solved. So we expect that the final decisions to be made in February and March. As for the hot items, they will continue with the original schedule, and we are going to continue monitoring all the advances. And the other question was related to the possibility of having more countries involved and the pressure. Of course, in the -- we are living a very important commercial work, especially for the manufactured product that comes from the overcapacity that comes from China that is pressurizing not only the Brazilian market, but the European market and global market. But we have seen that commercial measures have been implemented in the United States, in Mexico and Europe. And of course, we should expect that the market should continue being pressurized by this commercial work. And it's very important for us to continue monitoring even after the measures of anti-dumping. And we have to monitor the potential impacts that we can have after the results come in. As mentioned by Miguel in our industry, an important percentage of the cost, more than 50% of the ore and coke and coal and there are -- there is a formula which is applied to calculate, say, what is the difference of prices that are adopted. And when we see the prices, especially the products coming from China, and we can see that the margins are negative. These are not fair competition conditions. This is not fair. And of course, it generates a significant imbalance. At the moment, we can -- we have confidence in what Brazil is doing and my friends who are part of the Board. And we have been -- we are visiting the authorities of the federal government, and we have also been in talks with government of the states, and we are sharing our concern. And we see that there is a strong challenge, a strong threat to our industry when we think about the GDP of the country. And an important factor that when we see this kind of competition, we understand that it affects the employment possibilities. And this also affected the qualifications of the jobs in Brazil. There is another question that was asked. If the implementation of the measures could increase the capacity at Usiminas. For example, the beginning of the blast furnace #1. As we mentioned before, we trust the Brazilian authorities. In the initial speech, we mentioned that. And there were some measures that I have already mentioned. And we understand that there is the importance of implementing technical measures and antidumping is a technical measure. And we believe in the capacity for us to have more light in what is happening to the industry. In relation to the added capacity, I would like to say that we have made investments of $600 million in the modernization of blast furnace #3 which is operational. And we're also looking at the efficiency of those furnace. And with the blast furnace 2 and 3, we have managed to reach efficiency levels similar to what we had with the 3 blast furnaces in operation. So today, we have idle capacity in all industry. And then I would say that we are prepared to absorb higher demand. We are prepared to absorb the unfair competition that we see in the Brazilian market in a very efficient way.
Leonardo Rosa: Thank you, Marcelo, Miguel. We have a session about prices. I'm going to select some questions. First, about price in the distribution, and then we can talk about the carmakers. Prices, this is what we have. What is the transfer of prices for distribution. So what is Usiminas opinion in relation to this transfer? Is there any possibility of higher prices? What's the expectation of prices in the short term? Miguel, could you answer those?
Miguel Angel Camejo: Thank you, Leo. Usiminas increased the increases in the prices, spot businesses as of October, the prices depending on the product varies from 7%, 4% or 5% depending on the product. And this is a result of the strong pressure from the unfair competition with negative margins. When we reach the price scenario, the spot price, which was not sustainable to our Brazilian market. So that was the -- we felt the need of increasing the prices. We are returning to positive margins to the sector. And obviously, we are going to continue monitoring this possibility of new increases to the future. It's important to clarify, Leo, and everyone that as we suffered the pressure from the fair competition, and we also saw a strong drop in the spot prices, an adjustment was very low considering the inflation so much so that we did not feel this drop in price in the spot price. And we do not expect any increase in the fuel in the steel sector can impact the IPCA or the inflation rate in Brazil.
Leonardo Rosa: Thank you, Miguel. I forgot to mention the names of the people of those who were asking about prices at first. So it was a Caio Greiner, UBS; Caio Ribeiro of BofA; [indiscernible] Goldman Sachs; Matheus Moreira with Bradesco BBI and Carlos from Morgan Stanley. Now continuing for prices in the industry, and then we are going to talk about the automotive sector. [indiscernible] asks about the prices. And when are we likely to have a positive impact according to the recent increases? And what is the lag between the movement of the industry and movements in distribution? How could we compare those?
Miguel Angel Camejo: Thank you, Leo. As we always explained in our call, the dynamics of pricing at the industry has -- is associated with the spot prices. In the industrial [actually], depending on the client and the sector, we have [indiscernible] increases, quarterly increases. So these are the movements. And this is what we can observe this in the future. So the adjustments that are being made right now as of October in the spot sector, are likely to be reflected in when the industry renovated agreement as of January next year, especially in this period.
Leonardo Rosa: And now about automakers. We have some questions by Caio Greiner; Ricardo Monegaglia, Safra; Igor Guedes, Genial; Lucas Laghi of XP; and Daniel Sasson, Itau BBA.
Marcelo Chara: In case of carmakers, as you all know, we have 2 periods of negotiations. In January, when we update the agreements, we have the period of January, December and April and March, about 30% of car makers in Brazil and those installed in the region have a start negotiations at a very preliminary stage. So we are not sure of when the negotiations are going to be completed that are likely to advance up to December this year. As for the agreements that update the conditions as of April, they will start negotiations as of January and February next year. We'd like to remind you that the dynamics of agreement is very different, from the conditions that we apply in spot prices. The case of spot prices, well, it's important to clarify that what happened along '26 is -- '25 is not sustainable so much so that the result of the scenario is the different processes or cases -- the lawsuits of dumping. And we expect that the authorities are going to recognize considering the negative impact on the local industry.
Leonardo Rosa: Maybe just a follow-up. Still talking about the automakers because there's an additional question. How an anti-dumping measure can influence the negotiations within the automotive area?
Marcelo Chara: Now there is no influence, as I mentioned before. The dumping scenario is a result of the strong pressure from imports. In the case of automotive agreements, it's another logic. We are associated with the competition, but we also have to consider the variable of costs of raw materials and the agreements are maintained in the local currency.
Leonardo Rosa: Miguel, to end the session about prices, Gabriel Barra with Citi asks the following. In relation to steel prices, could you talk about the carryover of prices of September to understand what will be the carryover for the next quarter.
Miguel Angel Camejo: Gabriel, the price of September was the average price in the domestic market was about 12.5% that was impacted by the drop -- continuous drop that we observed in the spot price and the worst mix of product in September compared to -- for the quarter.
Leonardo Rosa: Okay. Miguel, another question for you. And now about imports. Daniel Sasson with Itau BBA. What's -- how do you see the volume of imported product reaching Brazil in the next months? And the premium versus the imported prices lower for the next months reflected in a lower order for you?
Miguel Angel Camejo: Daniel, let's separate your question. Your question is very interesting. Of course, the local steel unit reacted to the pressure of the strong imports, and we made adjustments, the price in the spot price in order to protect and to respond to this international pressure that led to a lower level of imports that we observed in 12 last months. But as I mentioned before, this scenario of domestic prices was not sustainable. So on the other -- on the side, the steel industry reacted strongly because we would have the possibility of lower the production. So because of the unfair competition, we have to go to the spot sector and defend the position of the steel industry at the local level. Imports reported and they lowered the volume of imports in the last few months. And we expect the same dynamic to be implemented up to the end of the year. Another factor is that you can see there's a cooling in different sectors of the economy. And this generates lower expectations, and we expect lower volume of imports because of the lower activity expected for the end of the year. And up to the end of the third quarter, we expect imports to -- lower imports, and that generated the drop at the imports that we observed in the last months. So we are likely to observe a reduction -- a sequential reduction in imports, but it's very relevant to continue advancing with the final measures for the decisions related to dumping so that we can go back to the regular levels after all those unfair competition that we have been suffering in the past 2 years.
Leonardo Rosa: Thank you, Miguel. Now Marcelo, we have a question about the compact mining, [indiscernible], Caio Greiner asked at what moment we can have the decision? And do we have any update on the decision? Marcelo, please?
Marcelo Chara: Thank You, Leo. As we mentioned before, in all previous calls. And we continue making headway with the preparation of the engineering that we have a clear adjustment in the project. But basically, the process of permitting is within the deadlines. As I mentioned before, in 2026, we will be able to define which would be the next steps.
Leonardo Rosa: Our next question is directed to Thiago about capital allocation, Caio Greiner, BTG; Gabriel Barra from Citi. He said capital allocation in a favorable scenario of antidumping that will elevate margins and cash generation of the company, how the capital allocation would be changed for the next years? Would that accelerate the dividends, accelerate investments or buyback or payment of dividends? And he says, what's the level of leverage that would be ideal for the company, Thiago, please.
Thiago Rodrigues: Thank you, Leo. Thank you, Caio. It's very difficult for us to estimate what's going to happen in the future, especially in relation to anti-dumping measures and how this can impact the result and the cash generation of the company. So I'm going to limit myself to talking about the present moment. First is it's in relation to prioritizing investments and payment to shareholders. You can observe that we have a plan, a robust plan of investments that have already been approved that are going to lead to the disbursement of relevant volume of cash. As we announced in the last call, an investment of -- for the Coke plant. And we also have the hardware repair of the Coke plant, and this would amount to more than BRL 2 billion. Marcelo has just mentioned the investment at MUSA. So we have a robust pipeline of investment for the future. That doesn't mean, however, that we do not evaluate the payment for the shareholders. This evaluation will depend on a number of indicators, cash generation, liquidity level and the investments that we have already planned in the pipeline for the future. In relation to the current situation, we have not made any decision. In this regard, we're still evaluating the possibility of distributing dividends this year, but we still haven't made a definite decision. Of course, this -- we have a proposal that it's going to take to the Board for approval. In relation to the leverage level, you have seen that in the last 2 or 3 years, we have been maintaining the leverage level below 1x the EBITDA. And this is a ratio that we feel comfortable to go through a stability period in the market and also going through periods of higher investments. And answering your question, the leverage level is the level that we understand to be a comfortable level so that we can be prepared to those kinds of future situations. Today is below 1. So between what we have today and 1 point of the EBITDA as the leverage level, that would be a comfortable level where we feel safe and comfortable. As to the future, let's wait and see if anything changes in relation to an improvement in the market situation and how this can be reflected in cash generation. We're going to continue monitoring the possibility of payment dividends to shareholders. But we are always going to focus on our investments so that we can generate competitiveness for the company in the future.
Leonardo Rosa: Thank you, Thiago. Still for you, there are many questions here. They're asking for an explanation about impairment and deferred items. Caio Greiner of UBS; Ricardo Monegaglia, Safra; Igor Guedes, Genial and Morgan Stanley. They ask you to explain the impairment and deferred items, why higher? And right now, is there any adjustments that we can expect for the future? Is there an impairment impact after the assets have been reviewed?
Thiago Rodrigues: Well, as you know, this is an accounting topic where companies have to evaluate the impairment of their assets at the routine frequency. So this is an evaluation based on premises. Interest rate, foreign exchange rate, demand, raw material prices and et cetera. All those premises are based on the macroeconomic environment in the market at present. And the update of those premises made us register the impairment. So there is no change in relation to the quality or the result generation of our assets, but we changed the premises that would change the situation of the market, the macroeconomic situation that were impacted by those evaluations. There are no expectations of a new evaluation in the short term, except if the macroeconomic situation and the market situation changes in a significant manner. And then we could make the evaluation that would all -- could mean a reversal of this provision. So we can revert the provision that was just being made and this provision was not allocated at any asset specific. This is just a provision without any specific allocation in any assets of the company.
Leonardo Rosa: Thank you, Thiago. Miguel, a section about demand. We have questions about Ricardo Monegaglia, Safra; Raj Kanjani from JPMorgan, Lucas Laghi from XP and Matheus Moreira with Bradesco BBI. So we put the questions together, and this is what we have. We noticed that the domestic market was weaker than the steel, flat steel prices, Usiminas increased 2%, as Brazil presented a 4% growth. Was there any change in the commercial strategy or any rationality from the competitors? The planned demand was dropped and the industry dropped -- falling quarter-over-quarter and year-over-year, is there a deacceleration? And as for 2026, what do you expect? And what factors presented the worst scenarios?
Miguel Angel Camejo: Thank you, Leo. Thank you, everyone. Let's make a comparison of the internal volumes and as Brazil's reports. We can -- it's important to say that short-term comparisons can lead to bad wrong occlusions. Because in short terms, you have -- we see, as case for Usiminas, we are focused on maintaining our leadership, and we are going to strengthen our leadership in added value, both in products as in -- as to value. And that are different sectors in the industry, and we take part in the commercial sector as well with automakers. And we also have to consider the civil construction and we take part in this less than other steel companies, and that can result in different movement of sales when compared to the previous quarter. As for the highlight of the quarter, we can see that there was a 10% increase, and we are likely to maintaining this recovery. But it's important to mention that the automaker sector is the only sector that still hasn't recovered the values prepandemic period. So it's important to maintain this movement, but the automaker is the only one which is still below the value of 2019. The industrial sector, we can mention the machinery for agriculture and the agriculture sector were at very low levels compared to the previous periods, but the quarter was very good and the road machinery had important improvements. And these are sectors that we can mention that they have had a performance lower than expectation. Another one is the sector of renewable energy. And there are other sectors that we have to consider. And the other sectors are performing according to the indicators of the economy. Of course, on the one hand, we have a negative impact on consumption. And client of Usiminas are being impacted by the imports of manufactured product as we saw from ANFAVEA data. But this strong pressure is also being felt by what comes from the imports. But the government has to incentivize policies that can help this area. For 2026, we can -- there is an estimate that apparent consumption will increase by 1% in -- for the Brazilian market. Of course, potential additional low levels of the interest rates and some aspects of the economy could improve the situation, but we are going to continue monitoring the interest rates and the consumption capacity in addition to industrial policy that can come from the public area. I don't know if I missed anything, Leo. Did I forget any question?
Leonardo Rosa: No, I think you addressed all of them. There is another one, which are the sectors that had a lower performance?
Miguel Angel Camejo: Well, I would say that sectors that were impacted in the period was renewable energies. That are -- have some important projects that have come to a stop, and they were projects that were very important in the previous year.
Leonardo Rosa: Miguel, about demand in the international market, Raj Kanjani from JPMorgan asks about sales to Argentina. Argentina demand was weaker, so can we go to the levels of the second quarter? Is this what we can expect for the fourth quarter and what we can expect from Argentina and from the external market?
Miguel Angel Camejo: What happened in the third quarter is that we were delivering the projects of oil and gas, and they were very strong in the second quarter. The sector of oil and gas continue to be striving and that could improve the mix and sales in the fourth quarter, especially for new projects of oil and gas in Argentina. The automotive sector continues to present positive results. And we expect to continue this trend up to the end of the year. So we could observe a better mix of sales, especially driven by the deliveries of oil and gas projects.
Leonardo Rosa: Thank you, Miguel. Thiago, we have a question about cash flow Ricardo Monegaglia with Safra asks the following. What's the perspective of cash flow for the fourth quarter of 2025, considering that working capital is stronger, CapEx is weaker in the third quarter? Yes, Thiago?
Thiago Rodrigues: Ricardo, the expectation for the fourth quarter is still of having some free up in the working capital. We are likely to have a normal variation in the inventory levels, but the reduction in receivables accounts because of the volumes of sales that usually happen in the fourth quarter, typically. So as for working capital, we are likely to see a good generation, positive generation and with stable results and with the CapEx that should be between BRL 400 million and BRL 500 million in the quarter for us to reach our guidance. We are still likely to see a positive working capital for cash generation. We have some questions about cost outlook that we provided in our results release. These are questions from Ricardo Monegaglia, Igor Guedes with Genial, Gabriel Barra with Citi. We put the questions together, and this is what we have. We expected the best outlook in costs. What were the variables considered? The international reference price of coal and ore reduced, but the COGS reduced. Following the same logic, should those commodities increase the COGS for the fourth quarter of 2025. And lastly, if the magnitude of COGS of the fourth quarter of 2025 would be the same magnitude that we see dropping in the previous quarter. To reinforce what we have already mentioned, we have confidence there will be another cost reduction for the fourth quarter, both in the raw material as for the gains in efficiency that we have been observing continuously at a gradual level. So we have been observing this in our operations. It's always important to clarify that the market indicators of coal, ore, et cetera, are good indicators of what's going to happen to our costs. However, they have a little bit different dynamics. They have different turnovers. So they would impact our COGS at different moments. The ore has a quicker turnover. So we see the impact in prices, impact in COGS. And this does not happen to the coal at present, considering that we purchased a relevant volume of coke in the market. So the Coke index is more relevant than the coal. So the -- it takes longer to reach the COGS and to make things even more complicated, we have different types of cokes, which are used in production at different times. So market indicator would be a good reference. However, obviously, since we know what we have in our inventories and what's being used in the production, we can have a clearer view of what's going to happen to the COGS. So again, there's an expectation of cost reduction in the next quarter in relation to the magnitude, if it's going to be similar as to the reduction that we saw in this quarter, which was 3%. It's hard to say. I would say that it will be something lower than that, but still that will depend on what's about to happen along the quarter.
Leonardo Rosa: Thiago, now the question is about mining costs. Yuri Pereira with Santander and Matheus Moreira with Bradesco, they ask the following. Could you provide us more details about the high costs in mining unit? Do you have an outlook for this line for the fourth quarter? Basically, this is the question.
Thiago Rodrigues: Okay. The increase in the mining cost came as a result of the international freight costs. So the sales that we make in the mining unit with the freight already included in the cost would impact the amount and the revenue. But with the increase in the tariff, we noticed this increase in the COGS. There was also a one-off increase in the material handling service, this is not likely to happen, but we see that there's a high tariff of an international freight. So this is likely to repeat in the next quarter. And that would lead us to a cost at the same level or at a similar level than what we saw in the third quarter when we compare the 2 quarters for MUSA -- at MUSA.
Leonardo Rosa: We still have 3 questions. We're moving towards the end of our call. The first one is about -- to Marcelo, Yuri Pereira asked about mining, our Friable reserves. What's the strategy to maintain the feed of the furnaces? Does it make sense that we are going to purchase from the local market. Yes, Marcelo?
Marcelo Chara: In the past 2 years, as we have been mentioning. Our main focus has been in the development of the operational excellence in all segments where we operate at Usiminas. So we integrated MUSA with steel production and optimizing the activities. So we have this reserve of Friable that we didn't used to have in the past. So we are making some mixes in order to expand this. So we have been able to develop alternatives at MUSA that would allow us to extend the life of the Friable items. And we have also been evaluating options that would allow us to use the sintering machines that we have in Ipatinga and we have incorporated a higher content of fines that would make us able to use or to use the reserves that we have. I would say that we are optimistic when we think about optimizing this. And depending on the definitions that we define in the compact projects, we are going to have synergies that would make allow us -- that will allow us to use those reserves so that we can use for the feeding of the furnaces. I would say that we have a good planning going on. We have good perspectives for the next years -- in relation to the supply of ore.
Leonardo Rosa: Thank you, Marcelo. Now we have a question about working capital with -- from Igor Guedes, Genial; [indiscernible] the driver of cash generation was the working capital. Is there a space for further reductions? Igor asked the following the level of working capital was higher than we expected. So there was a reduction in the forfeit and the accounts payable. Is it possible to see the current level of current payables? Was it a negotiation so that we could extend the supplier deadlines with the suppliers?
Thiago Rodrigues: The first question I think I have already answered. So in relation to the inventory levels, so the turnover of the inventories are normalized. So what we are likely to see in the future are regular variations. And although, obviously, it's going to depend on the production level at which we are operating. We expect to reduce the accounting receivables for the next quarter. In relation to the second quarter, second question, I don't know if I understood well. But usually, when you have a strong reduction in the inventory levels, this also means a reduction of the suppliers since you already acquire fewer raw materials. So this is a natural effect. We had a reduction of about BRL 1.1 billion in the inventory account. And we had a reduction in the suppliers' accounts. And the match was about BRL 500 million, if I'm not mistaken. This is just a natural movement. There was no -- different negotiation going on. If we had negotiated extended deadline, we wouldn't have the reduction in the supplier account, but it would increase. There was no regular impact -- a big impact in the negotiation with the suppliers. This was a natural impact since we reduced the inventory levels.
Leonardo Rosa: Thank you, Thiago. So let's move on to our last section, which are some questions about the operation. They come from Gabriel Barra; Marcio Farid, Goldman Sachs; Marcelo Arazi of BTG. Marcelo, people asked the following. Could you make some comments about the status of the new PCI plant? What are the expectations in terms of cost improvement coming from this project? How the blast furnace 3 has been running? Is there a space for improvement? And we expect a stable EBITDA considering the efforts that the company has been making. So what has the company been making along those lines?
Marcelo Chara: I will start with the first question. The investments are according to the plan. In the beginning of 2026, we are going to start the operating tasks. In the first half of the year, we are going to be in the right regimen. And then we are going to improve the efficiency of fuels and reducing the coke fuel use. And there is going to be a significant improvement in costs in addition to reducing the emissions of GHG. In general lines and making a summary of the questions asked, it's important to mention that we have been developing along the 2 years, important projects to complement the $600 million that we have invested in the blast furnaces in such a way that the lines that feed the blast furnaces have been receiving important reinforcement in terms of OpEx and important works to -- of improvement making it possible to change the metal grade of the furnaces and we have been reducing the load of costs, and we have already been capitalizing those effects. And we are making a lot of effort on this focus, especially on the environmental areas so that we can reduce the particle emissions and reducing by more than 90% of all those events, whenever we had any potential for reduction. Another aspect, which is very important is the coal and coke mix. And this is directly connected to the working capital. We developed a special team to control our inventories and all the supply system, and we have been able to simplify the number of suppliers as well as the quality of those suppliers, and we made a valuation and we made the reduction of the inventories. And we also improved the operational performance of the use of this raw material. Another important topic is related to the battery, which is being advancing according to the plan. And we have good expectations about this plan. Since we have reconfigured and we have been noticing an improvement in the execution of the project, since we have an expertise in execution that allow us to execute this plan in a more efficient way. And together, we have another project complementary, which is the Gasometer that will also improve the process. We have also made imported OpEx and CapEx investments to promote improvement in the utilities of the company. And we have reduced the natural gas consumption. We have been making other improvements in the utilities to make the proper monitoring of the costs. As we mentioned, as we mentioned previously, in all the previous calls, of the previous quarters, this is a process that has already been installed at Usiminas, and it's been successful. We have a strongly focused and engaged team. Antonio one of our main shareholders has been helping us so much in those areas. And thanks to this, we are confident that this improvement process will continue. And this will continue at a systemic level. All the changes are going to be sustainable and progressive.
Leonardo Rosa: Thank you, Marcelo. So we ended our Q&A session. We would like to thank you so much for your participation. We would like to remind you that if you have any questions, our IR team is available to take any questions you might have. Thank you very much. Have a nice day, everyone. [Statements in English on this transcript were spoken by an interpreter present on the live call.]